Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Quanta Services Fourth Quarter and Full Year Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Kip Rupp with DRG&L. Please go ahead, sir.
Kip Rupp: Great, thank you, Taddeo, and welcome, everyone, to Quanta Services conference call to review 2010 fourth quarter and full year results. Before I turn the call over to management, I have the normal housekeeping details to run through. If you would like to be on the email or fax distribution list to receive future press releases for Quanta, or if you had any technical difficulty this morning and did not receive your email or fax, please call our offices at DRG&L at (713) 529-6600. You can also sign up for email information alerts by going to the Investors & Media section of Quanta Services website at quantaservices.com. If you would like to listen to a replay of today's call, it will be available via webcast by also going to Quanta's website at quantaservices.com. In addition, there's a telephonic recorded instant replay that will be available for the next seven days, 24 hours a day, that can be accessed as set forth in the press release. Please remember that the information reported on this call speaks only as of today, February 23, 2011, and therefore you're advised that any time-sensitive information may no longer be accurate as of the time of any replay of this call. This conference call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These forward-looking statements include any statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance or that do not solely relate to historical or current facts. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or are beyond Quanta's control, and actual results may differ materially from those expected or implied as forward-looking statements. Management cautions that you should not place undue reliance on Quanta's forward-looking statements, and Quanta does not undertake any obligation to update any forward-looking statements to reflect events or circumstances after this call. For additional information concerning some of the risks, uncertainties and assumptions that could affect Quanta's forward-looking statements, please refer to the company's annual report on Form 10-K for the year ended December 31, 2009, its quarterly reports on Form 10-Q and its other documents filed with the Securities and Exchange Commission, which may be obtained through the SEC's website at sec.gov. With that, I would now like to turn the call over to Mr. John Colson, Quanta's Chairman and CEO. John?
John Colson: Good morning, everyone, and welcome to the Quanta Services fourth quarter 2010 conference call. To start the call this morning, I will provide a summary of the quarter results with added insight on the impact of current industry circumstances and overall economic conditions. My comments will be followed by an operational review by Jim O'Neil, President and Chief Operating Officer; and a review of our financial results by James Haddox, our Chief Financial Officer. Following our remarks, we will welcome your questions. Revenues for the fourth quarter increased to $1.1 billion compared to $985 million in the prior year's fourth quarter. Fourth quarter and full year revenues for 2010 include revenues of approximately $25.7 million from Valard Construction which was acquired October 25, 2010. Revenues for the full year 2010 were $3.93 billion compared to $3.32 billion in 2009. While revenues were strong in the quarter, we continue to experience margin pressure in the Natural Gas and Pipeline segment of our business. We discussed this at the end of the third quarter. While this had a near-term impact on our financial results, it does not reflect a change in our approach to bidding this work at acceptable margins. Although we are happy that 2010 is over and hopefully taken the recession with it, our accomplishments were significant and many during the year. During the year, we had $116 million of free cash flow which James will discuss later. We significantly expanded our Canadian presence with the acquisition of Valard Construction. We supported transmission reliability efforts through the application of our project management, engineering and construction services, both energized and de-energized for various utilities throughout the United States. We initiated construction of the first transmission lines as part of the Texas Competitive Renewable Energy Zone, or CREZ program, to support delivery of renewable energy. We've provided construction services on more than 700 miles of transmission pipeline across nine states in Canada. We secured our first construction projects under the broadband stimulus program awards with this momentum continuing with ongoing awards for engineering and construction services. We secured contracts and initiated construction of 70 megawatts of solar facilities through 17 projects in the United States and Canada, and we strategically strengthened our international operations. We're optimistic that 2011 will bring increased visibility and additional project activity for several reasons. One, a strength in the economy. A recent poll of economists by The Wall Street Journal predicts that the U.S. economy will grow at better than 3% this year. Two, if the first seven weeks of the year are an indication of what the year holds for our Electric Power segment, we expect a significant increase in project activity in 2011. Transmission projects awarded in 2010 such as Sunrise Powerlink and Tehachapi are beginning construction, while other much anticipated transmission projects such as CapX2020 and Central Maine Power have progressed with construction contract awards. Three, we are also beginning to see awards related to the Texas Competitive Renewable Energy Zone or CREZ. Today, I am proud to announce that we have been awarded two contracts by Lone Star Transmission as part of its plan to help deliver clean, renewable energy through CREZ transmission line construction. Jim will provide more information on these projects during his remarks. We expect to perform work on the following major electric transmission projects in 2011: Sunrise Powerlink or San Diego Gas & Electric; Tehachapi Section 6 and 11 for Southern California Edison; New England East-West Solution or NEEWS for Northeast Utilities, specifically the Greater Springfield Reliability Project; CapX2020 Group 1 projects; the Maine Reliability project for the Central Maine Power Company; the Rhode Island Reliability project for National Grid; Bruce to Milton Transmission line for Hydro One; Allegheny Power's TrAIL project; and several additional CREZ projects yet to be announced. Looking to the future, industry experts project an increase in power investment. For instance, the North American Electric Reliability Council predicts that investment in reliability and inert connections will triple from 1,000 miles per year between 2000 and 2008 to 3,000 miles per year through 2017. Edison Electric Institute estimates that investor-owned utilities will spend $9.7 billion on electric transmission projects this year and increase $12.3 billion annually by 2013. We believe that Quanta remains the leader in providing electric transmission infrastructure services. Our Natural Gas and Pipeline segment continues to actively participate in a robust bidding season for projects that are expected to commence in 2011. Natural Gas pipeline safety continues to garner attention nationwide. Various legislative proposals are being considered, and utilities are scrutinizing maintenance practices. As legislation progresses, it has the potential to drive demand for pipeline integrity, maintenance and new construction, all services which we offer our customers. Opportunities may also arise from the expected increase in Natural Gas production. Natural Gas is projected to surpass coal as the leading U.S. source of power generation by 2035. In addition to creating demand for our pipeline services, this shift will also positively impact various energy policies and regulations such as renewable portfolio standards and transmission siting. During the third and fourth quarters, we began to see significant bidding and award activity as a result of the American Recovery and Reinvestment Act or the ARRA broadband stimulus program. Most of the awards to service providers were for engineering services, but we also received awards to provide construction services, most notably the KINBER or PennREN project we previously announced. We expect bid awards for construction services to accelerate through the year and for awards to be largely complete by year end. On the Wireless side, we expect LTE or long-term evolution and 4G rollouts to gain momentum throughout 2011. And we expect to capture project awards as this technology rollout accelerates. Our fiber leasing business met our expectations for 2010, and we're beginning to see increased opportunities as the economy begins to recover, particularly in the enterprise and carrier verticals. Jim will provide more details concerning our Telecom segment in his remarks. In closing, 2011 project awards are already off to a good start, and we believe we will experience strong demand for our services and increased infrastructure spending in the industries we serve. Quanta's strong balance sheet, strategic comprehensive service offerings and extensive resources remain competitive advantages that should enable us to maintain our leading position in the industries we serve. Now I'll turn the call over to Jim O'Neil who will present the details of our operations.
James O'Neil: Thank you, John, and good morning, everyone. Our company is sitting in a very different position as to our outlook for this year compared to the same time last year. We continue to build backlog and see noteworthy indicators of increased spending, strong bidding activity and the release of stimulus funds. These positive signs are building momentum in all segments of our business. We expect 2011 to deliver meaningful revenue and margin growth despite a slow first quarter that has been affected so far by extreme winter weather conditions, costs associated with ramping down two major electric transmission projects and mobilizing resources to five new major transmission contracts and the lower revenues from our Natural Gas and Pipeline business caused by the normal seasonality of this business. My comments today will address this outlook while providing an overview of each industry segment. In the fourth quarter of 2010, revenues from our Electric Power segment were approximately $595 million, an increase of 15% compared to approximately $516 million of revenue for the fourth quarter of 2009. The increase in this segment's revenues was primarily related to increased activity in electric transmission and renewable energy construction. 12-month Electric Power backlog was $1.8 million at December 31, 2010. This is a 37% increase over backlog at December 31, 2009. This backlog increase is largely attributed to the increase in transmission awards during the past several months. Total backlog was up 11.8% to $6.3 billion at December 31, 2010, compared to last year. During the first quarter, we initiated preconstruction activities while performed construction services on electric transmission projects throughout the U.S. and Canada. Under our four-year contract with Central Maine Power Company, we will provide construction services jointly with our Maine-based partner to build approximately 200 miles of transmission infrastructure in Central and Western Maine. We have initiated preconstruction activities, and project completion is projected by mid-2015. We are also continuing preconstruction activities for San Diego Gas & Electric Sunrise Powerlink project. The underground portion of this project is underway. For Southern California, Edison Tehachapi Project Section 6 and 11, we are performing preconstruction activities and expect to mobilize crews by the end of the first quarter. We initiated work on Northeast Utilities’ or NU’s Greater Springfield Reliability Transmission Project, which is the first of three major construction projects for end-use portion of the New England East-West Solution or NEEWS. Currently, we are performing preconstruction activities and will soon begin installing tower foundations. Construction will be in full swing in the second half of 2011 with the completion anticipated in 2015. Outside of the NEEWS project, we continue to provide NU with specialty, energized services to support their structure, operate initiatives throughout their service area. Our work continues on National Grid’s Rhode Island Reliability Project. Our crews are currently studying foundations and structures as well as stringing conductor. This project is less than 10% complete with expected completion in the spring of 2013. We continue to provide substation and transmission services for ITC Holdings in Michigan and Iowa, and we expect ongoing activity throughout 2011. Under our contract with American Transmission Co., we expect activity levels to increase in 2011 as compared to last year. We are already in the preconstruction phase in ramping up for construction of the Rockdale to West Middleton Transmission line. Construction on this 345,000-volt, 32-mile line is expected to begin in April of this year with completion in January of 2013. For Hydro One, our crews continue to work on the Bruce to Milton Transmission Reinforcement Project. The project consists of a 108-mile double-circuit 500,000-volt transmission line, the new line doubles current transmission capacity to accommodate additional wind in nuclear generation sources to the load centers in the Toronto area. We completed LCRA's Clear Creek to [indiscernible] 345,000-volt line spanning approximately 88 miles in January of this year. Originally, this project was scheduled to be completed in June of 2011. We will continue to work on smaller scale transmission projects for LCRA throughout this year and expect construction activity to increase in 2012. Last week, we substantially completed construction under our contract with Allegheny Energy on the TrAIL project. This project was originally scheduled to be completed on June 1 of 2011. Quanta’s scale and expertise allowed us to deploy additional resources to complete both LCRA and TrAIL projects ahead of schedule. In the first quarter of this year, we have been awarded significant electric transmission contracts by CapX2020 and Lone Star Transmission. Estimated revenues from these projects are not in total our 12-month backlog. CapX2020 is a joint initiative of 11 transmission-owning utilities proposing to build infrastructure under what is expected to be the largest transmission expansion in the upper Midwest in 30 years. Quanta's subsidiary, M. J. Electric, was one of two contractors selected for this project. CapX2020 has released the first group of projects known as Group 1 which includes four transmission projects totaling over 700 miles. The construction portion of the CapX2020 Group 1 expansion is estimated to be $660 million. Quanta's first project is the Bemidji-Grand Rapids project which is a 230,000-volt, 70-mile transmission line that will start this fall with a targeted completion in 2013. Today, we are also announcing that Quanta was awarded contracts for two projects for Lone Star Transmission related to the Texas Competitive Renewable Energy Zone or CREZ. These awards showcased our diverse service offering and ability to meet customer requirements on all project phases. Under the transmission contract, Quanta will oversee, manage and perform all activities related to the construction of more than 90 miles of 345,000-volt, double-circuit, two-bundle transmission line which spans across Fisher, Jones, Scurry and Shackelford counties. Specific services include site preparation, foundation and structure installations, wire stringing and interconnections. The other contract is for the engineering, procurement and construction services for five separate switchyard facilities to support the 345,000-volt transmission system. Under the switchyard contract, Quanta will provide engineering design, procurement, installation, commissioning and testing services for five switchyards in Bosque, Eastland, Hill, Navarro and Shackelford counties in Texas. We continue to be actively engaged in pursuing other CREZ projects with proposals outstanding with three additional utilities. We expect additional awards to be made over the next several months. In the fourth quarter, we continue to see positive indications that utilities are increasing their spending on distribution maintenance, as we have had a request for additional crews from utilities in California and in the Southeast U.S. We believe we need to wait at least another quarter to determine whether the positive activity we are seeing in this area is sustainable. Our smart grid efforts continue throughout the U.S. We're actively supporting smart grid efforts for utilities including CenterPoint Energy, American Electric Power and utilities in Alabama and Florida. The fourth quarter brought increased momentum to the renewable portion of our business as well. We exceeded our 2010 renewable energy revenue projections. Renewable revenue for the fourth quarter of 2010 totaled $69 million. For the full year, renewable energy revenues were $313 million as compared to $120 million for the full year of 2009. During the quarter, we continued to work under three EPC contracts secured in the third quarter of 2010 for utility-scale solar installations owned jointly by Eurus Energy America and NRG Solar. We completed the engineering phase and initiated construction on the 20-megawatt Sun City Project, the 19-megawatt Sand Drag Project and the 6-megawatt Avenal Park Project. Also during the quarter, we continued to work on our third utility-scale solar project at the Denver International Airport under our contract with Constellation Energy. We continue to expect double-digit growth in renewable energy revenues for the full year of 2011 compared to 2010, with solar opportunities contributing significantly to the growth. We expect the wind market to continue to be depressed through 2011, while solar opportunity will almost double to a two-gigawatt market in North America compared to last year. Overall, we are encouraged by the trends we are experiencing in the Electric Power segment, particularly the increase in electric transmission and renewable energy activity. We expect strong growth in revenues and improving margins in 2011 in this segment despite a slow start to the year. First quarter results for this segment were impacted by adverse weather which has slowed production on all of our projects, particularly in the midwest and northeast, as well as costs associated with ramping down on the LCRA and TrAIL projects and beginning to mobilize resources on Sunrise, Tehachapi 6 and 11, the Greater Springfield Reliability Project and the Central Maine Power Project. We should begin to recognize revenue and margin benefits once these projects ramp up construction in the second quarter and beyond. During the quarter, revenues from our Natural Gas and Pipeline segment were approximately $399.5 million. This compares to approximately $351.5 million for the fourth quarter of 2009. We continue to experience weather challenges in the executing gas pipeline projects in the fourth quarter which adversely affected margins. Despite the project challenges we have discussed during the last two quarters, we have had many projects that have met or exceeded expectations. The Natural Gas and Pipeline segment generated a respectable 8.5% operating margin for the full year of 2010. 12-month backlog in the Natural Gas segment was $744 million, down $104 million over the same period last year. The largest contributor to this decrease in the lack of gas transmission, was the lack of gas transmission backlog, which is not unusual given the timing of project awards that are individually large in size and scope. We are currently in the height of the bidding season for transmission pipeline work and are confident we will secure additional pipeline opportunities over the next three to four months. Currently, we are bidding or negotiating over $1.1 billion of proposed projects yet to be awarded that will be built this year. Additionally, we are beginning to see pipeline construction capacity tightening for 2011 work, especially capacity to build larger diameter pipelines. We anticipate our Natural Gas and Pipeline segment revenues and margins in 2011 to be comparable with 2010, and we'll provide more clarity once we get through the bidding season. Building on the success for our Electric Power, construction and maintenance outsourcing agreement, we also recently announced a five-year contract with Puget Sound Energy for Natural Gas construction and maintenance services across the utility's six-county service area. The contract is expected to produce approximately $400 million in revenue during this five-year term. In the fourth quarter of 2010, revenues from our Telecommunications segment were approximately $83.4 million compared to approximately $94.3 million in the fourth quarter of 2009. This decrease in revenue is primarily due to reduced spending by service providers on their fiber buildout initiatives. Total backlog in this segment increased approximately 46% to $450 million at December 31, 2010, compared to December 31, 2009. This increase can be attributed to the growing momentum in broadband stimulus project awards. During the second half of 2010, we were awarded $176 million in engineering and construction contracts related to stimulus. We expect the rate of awards to accelerate throughout the first half of 2011. We have already been awarded approximately $50 million of additional engineering and construction projects related to the stimulus program since the first of this year. Broadband stimulus revenues recognized in the fourth quarter of 2010 were approximately $3 million. Most of our customers are expected to begin construction in the second quarter. With that said, we expect revenue and margin improvement in the second quarter and very strong in the second half of this year. Our largest single stimulus award, which we recently announced, was the KINBER project to engineer and construct a 1,600-mile offering throughout 39 counties in Pennsylvania. KINBER, or the Keystone Initiative for Network Based Education and Research, is a coalition of colleges, universities, research institutions and healthcare organizations, which received approximately $100 million in federal grants to connect the state's higher institutions of learning to national research institutions throughout a 10-gigabit ethernet network. As part of the contract, Quanta, through its Sunesys Fiber Licensing subsidiary will provide $24 million in matching funds over a two-year period and in return receive certain rights related to the access of the network. The 4G and LTE rollouts by wireless carriers are expected to accelerate this year after delays in 2010 primarily related to technology availability. We believe we are in the early stages of a major upgrade by wireless carriers striving to keep up with increasing bandwidth requirements to support the ever increasing demands of technology platforms, such as iPad and Netflix. Looking forward, we expect long-term evolution or LTE initiatives to continue to gain momentum over the next 12 to 24 months. We expect WiMAX and LTE initiatives to stimulate capital spending by wireless carriers over at least the next five years, and we are certainly pursuing opportunities in this area. Despite challenges in the fourth quarter of 2010 and the first quarter of 2011, we expect our Telecommunications segment revenues to show double-digit growth for the full year of 2011, with an improvement in margins compared to 2010. In the fourth quarter of 2010, revenues from our Fiber Optic Licensing segment were approximately $28 million. This compares to approximately $23 million in revenue for the fourth quarter of 2009. Our Fiber Optic Licensing segment will benefit greatly from the KINBER contract which allows us priority access to the 1,600-mile loop. Fiber overbuilds on this network will be at significantly reduced construction and right away cost. Also backhaul fiber from cell sites related to LTE initiatives is also providing to be a nice opportunity for our Fiber Licensing business moving forward. In summary, we expect revenue and margin growth in 2011, 2012 and beyond despite a slow start to this year. Collectively, across all segments of our business, we're seeing market momentum and a strong and positive outlook for our company. We maintained our market and pricing leadership coming out of this recession, and we are optimistic about capturing our share of the opportunities going forward. Now we'll turn the call over to James Haddox.
James Haddox: Thanks, Jim, and good morning, everyone. Today, we announced revenues of $1.11 billion for the fourth quarter of 2010 compared to $985.4 million in the prior year's fourth quarter, reflecting growth of approximately 12.3% quarter-over-quarter. Net income attributable to common stock for the quarter was $33.7 million or $0.16 per diluted share. The growth in consolidated revenues in the fourth quarter of '10 was driven primarily by an increase in revenues from our Electric Power and Infrastructure Services segment of 15.3% quarter-over-quarter. A portion of this growth resulted from an acquisition during the quarter. However, excluding the acquisition, the Electric Power segment revenues would have grown 10.3% quarter-over-quarter. An increase of 13.7% in revenues from our Natural Gas and Pipeline Infrastructure Services segment also contributed to our revenue growth during the quarter. These revenue increases were partially offset by decreased revenues from our Telecommunications segment of 11.6%. Our consolidated gross margin declined from 19.4% in 4Q '09 to 14.4% in 4Q of '10. The decrease in gross margin was primarily due to lower gross margins in our Natural Gas and Telecommunications segments. Selling, general and administrative expenses were comparable to last year's fourth quarter at approximately $95 million. We completed major acquisitions during the fourth quarters of both 2009 and 2010 which resulted in acquisition and integration expenses during both quarters. Excluding these expenses, our G&A expenses would have been $86.5 million in 4Q of 2010 compared to $88.8 million in 4Q of '09. Selling, general and administrative expenses, excluding acquisition and integration costs, decreased from 9% to 7.8% of revenues during the fourth quarter of 2010, primarily due to the increase in overall revenues, while G&A expenses remained relatively flat. Our consolidated operating margin before amortization expense decreased from 9.8% in 4Q of '09 to 5.9% in 4Q of '10 as a result of the lower gross margins previously mentioned, partially offset by lower G&A as a percentage of revenues. Amortization of intangible assets decreased from $23.7 million in 4Q '09 to $10.2 million in 4Q '10 due to the runoff of amortization related to backlog intangibles associated with the large acquisition we've completed in the fourth quarter of '09, partially offset by amortization related to intangible assets recorded from our 4Q of '10 acquisition. Drilling further down into the details of our results by segment, Electric Power segment revenues were up about $79 million quarter-over-quarter or about 15.3%. This increase was due to increases in all major types of work in the Electric Power segment, transmission, distribution and alternative energy, coupled with approximately $26 million in revenues from the acquisition of Valard in the fourth quarter of 2010. Emergency restoration revenues were flat at about $16 million for the fourth quarters of both 2009 and 2010. The operating margin in the Electric Power segment was 10.0% for the fourth quarter compared to 9.2% in last year's fourth quarter, primarily due to increases in revenues described earlier, while G&A costs within the segment remained constant, and therefore decreased as a percentage of revenues. Our Natural Gas and Pipeline segment revenues increased quarter-over-quarter, approximately 13.7% to about $399.5 million in 4Q '10 due primarily to increased gas transmission revenues from new projects. The majority of the larger projects in 2009 were substantially complete earlier in the fourth quarter of 2009. However, due to the combined effects of delays in the second quarter and third quarters of 2010, a larger portion of project work was performed in this year's fourth quarter. Operating margin in the Natural Gas and Pipeline segment was 5.5% in 4Q of '10 compared to 15.5% in 4Q '09. This decrease is due to difficult weather patterns which carried over from the third quarter into an early winter season and led to higher than anticipated costs on certain larger gas transmission jobs. Revenues from our Telecommunications segment decreased approximately $10.9 million or 11.6% to approximately $83.4 million in 4Q of '10, primarily due to lower revenues from fiber-to-the-premise build-out initiatives, as well as lower long-haul fiber revenues as a result of reduced capital spending by our customers, partially offset by increased revenues from telecom engineering services associated with stimulus-related projects. Operating margin in the Telecommunications segment was 2.8% in 4Q of '10 compared to 7.1% in 4Q '09. This decrease is a result of continued competitive pricing pressure due to the lower overall customer spending, as well as the overall lower revenues and its impact on this segment's ability to cover certain fixed overhead costs. Fiber Optic Licensing segment revenues were approximately $28 million for the fourth quarter of 2010 or an increase of about 21% as a result of our continued investment in fiber optic network expansion and the associated revenues from licensing the right to use point-to-point fiber optic telecommunications facilities. Operating margin in the Fiber Optic Licensing segment was 48.0% in 4Q of '10 which is typical for this segment. When discussing operating margins by segment, we do not allocate certain selling, general and administrative expenses and amortization expense to our segments, therefore the previous discussion about operating margin by segment excludes the effects of such expenses. Corporate and unallocated costs decreased about $5.8 million to $42.4 million in the fourth quarter of 2010 as compared to 4Q '09, primarily due to $13.5 million in decreased amortization expense due to the amortization of backlog-related intangibles associated with the major acquisition in 4Q of '09, partially offset by amortization related to intangible assets recorded from our 4Q '10 acquisition. This decrease in amortization expense was partially offset by higher acquisition and integration costs during 4Q of '10 as compared to 4Q of '09, as well as higher salaries and related benefits cost primarily due to increased personnel. Our tax rate of 37.2% this quarter was lower than we forecasted as a result of the release of a portion of a valuation allowance on certain foreign tax credits due to better visibility on foreign sourced income due to the acquisition of Valard, the ability to deduct a higher portion of the Valard acquisition costs than we originally expected, and the recording of tax benefits resulting from the filing of certain amended tax returns. Net income attributable to common stock for the quarter was $33.7 million or $0.16 per diluted share. Net income attributable to common stock in 4Q of '09 was $43.9 million or $0.21 per diluted share. Adjusted diluted earnings per share is calculated in today's press release. It was $0.23 for the fourth quarter of 2010 as compared to $0.31 for 4Q of '09. Cash flow from operations, less net capital expenditures of about $31 million, resulted in approximately $230 million in free cash flow for the quarter. The free cash flow during the fourth quarter of 2010 was primarily due to the significant reduction in receivables and unbilled balances from the third quarter, the result of the seasonal nature of our work. For the full year of 2010, cash flow from operations, less net capital expenditures of about $124 million, resulted in approximately $116 million in free cash flow despite revenue growth of 18 ½% for the year. EBITA for the fourth quarter of 2010 was about $64.7 million or 5.9% of revenues compared to about $96.1 million or 9.8% of revenues for the fourth quarter of 2009. EBITA for all of 2010 was $294.8 million. Adjusted EBITDA was about $105 million for the fourth quarter of 2010 compared to $132.8 million for the fourth quarter of 2009. And adjusted EBITDA for the full year 2010 was $434.2 million. Our days sales outstanding, or DSOs, were 68 days at December 31, 2010, versus 76 days at September 30 of 2010 and 63 days at December 31 of '09. Cost in excess of billings, which is a component of the DSO calculation, was $135 million at December 31 and compares to $266 million at the end of 3Q of '10 and $61 million as of the end of the fourth quarter of last year. The increase in cost in excess of billings since 12/31 of '09 was due primarily to the timing of the completion of various gas transmission projects and the nature of the contractual billings. In last year's fourth quarter, certain gas transmission projects were completed earlier in the quarter. And the contractual terms in respects of billings were allowed earlier in the projects as compared to this year's fourth quarter where a number of the projects continued to work throughout the fourth quarter and also did not allow for billing until various milestones were met. The calculation of EBITA and EBITDA and adjusted EBITDA, all non-GAAP measures and the definitions of these and DSOs can be found in the Investors and Media section of our website at quantaservices.com. At the end of the year, we had about $539 million in cash after utilizing cash of $146 million to redeem our convertible debt and $130 million net of cash required for an acquisition during the year. We had $177 million in letters of credit outstanding under our $475 million credit facility, primarily to secure our insurance program with no outstanding loans, leaving $298 million of availability. The combination of our cash balance and availability under our credit facility gave us about $837 million in total liquidity as of December 31 of 2010. Concerning our outlook for the future, our estimate of 1Q '11 EPS based on revenues of between $775 million to $825 million is $0.02 to $0.03 per diluted share on a GAAP basis. This estimate compares to $0.11 in GAAP EPS in the first quarter of '10. Our GAAP EPS forecast for 1Q '11 includes an estimate of $6.2 million for non-cash compensation expenses and another $6.2 million of amortization expenses. Excluding these expenses, our non-GAAP adjusted diluted earnings per share for the quarter is expected to be $0.06 to $0.07. Our estimate for 2011 EPS based on revenues of between $4.1 billion and $4.4 billion is $0.80 to $0.90 per diluted share on a GAAP basis. This compares to $0.72 in GAAP EPS in 2010. Our GAAP EPS forecast for 2011 includes an estimate of $25 million for non-cash compensation expenses and $26 million of amortization expenses. Excluding these expenses, our non-GAAP adjusted diluted earnings per share for 2011 are expected to be $0.95 to $1.05. We're currently forecasting net income attributable to non-controlling interest to be approximately $1.5 million in the first quarter of 2011 and $11 million for the year. This ramp-up over 2010 is due to increases in work on existing joint venture projects, as well as increased amounts associated with our contract with Central Maine Power. For additional guidance, we're currently projecting our GAAP tax rate to be approximately 39% to 39.5% for 2011. We expect our diluted share count to be about 216 million shares for 2011. We expect CapEx for all of 2011 to be approximately $180 million to $210 million, which includes CapEx for our Fiber Licensing segment of about $35 million. This compares to CapEx for all of 2010 of about $150 million. This concludes our formal presentation, and we will now open the line for Q&A. Taddeo?
Operator: [Operator Instructions] Our first question is from the line of Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc.: Number one, if you look at the guidance and outlook you've issued for 2011, and really putting that together with your qualitative commentary on improving revenues and improving margins, could you talk a bit about the drivers you're seeing this year versus last year? And where you have been perhaps conservative about this at this point last year when you issued 2010 guidance? And number two, could you tell us about what you're assuming for pipeline spread utilization for outside of the first quarter, and how that compares to what it's likely to be as embedded in your guidance for the first quarter?
John Colson: Tahira, I'll start with the pipeline question. I mean we've got -- at the end of the year we were $104 million short on backlog. We've signed the Puget Sound contract. That's going to add about $60 million in backlog for the year, and that's $400 million in total backlog. We think that we'll need about $300 million, $350 million in additional transmission work. We see visibility into that this year in order to meet the guidance numbers. So utilization right now, I mean, we're working for four or five customers right now doing various pipeline work. And we think that there are still plenty of opportunities out there this year. We're in the middle of the bidding season, and we see some good visibility into additional work this year. On your Electric Power question, I didn't quite catch the comparison. I think you're trying to say what's different this year than last?
Tahira Afzal - KeyBanc Capital Markets Inc.: Yes, just generally, given that your last year’s guidance ended up being a little aggressive, or there were things that ended up working against you, what have you built in or embedded in your guidance that might be a little more conservative and where are you a little more optimistic?
John Colson: Let me try to answer that. If you're looking at 2011 and looking at a very slow start in the first quarter of this year, it's very hard to be too optimistic going forward. These days, it seems it's difficult to get projects started on time. And so timing of projects is a big part of trying to make a forecast for the year. We have a lot of things going for us this year. We have stronger backlogs than we did last year, and more project awards even after the first of the year than we did last year. However, again, because we do have such a slow start this year in the first quarter because of the things that Jim outlined, extreme weather conditions that everyone has seen, the ramping down of two major transmission projects and the mobilization of resources and starting five major new transmission projects and plus, of course, the normal seasonality in our Natural Gas business contributing to a very low first quarter, I think it probably pays to have some conservatism when you're giving guidance for the year.
Operator: Your next question is from the line of Dan Mannes with Avondale Partners.
Daniel Mannes - Avondale Partners, LLC: Given what your guidance was last year, I mean, how much did your experience, given the timing of some of your currencies or projects last year, impact your decision making on giving guidance this year, especially in the context of -- at least in Jim's comments, what was a pretty bullish outlook for the ramp of a lot of these projects like Sunrise and PATH, et cetera?
John Colson: I think that you have to be very cautious as I say because of the way the world is today. Projects sometimes don't start as they are anticipated to start. So you have to be very cautious when giving a yearly guidance. Last year, I think, everything worked fairly well except the margins fell short in the third and fourth quarter because of some weather events in areas that shouldn't have had weather events. And we are seeing changing weather patterns where we're seeing the swamps of Louisiana are dry, and the plains of Kansas are wet, just crazy stuff. But those things will all work their way out, you’ll just have some bad weather events, and then you'll have some bad weather events that cause increased revenues. So those will all work out over time but it's the timing of projects that you have to be cautious with in giving guidance for the year.
Daniel Mannes - Avondale Partners, LLC: And then I guess the follow-up question is, and I guess this would be for the cynical people out there. As you look at the guidance, is there also not just the timing aspect -- but when you look at the margin in your backlog, is that different than maybe last year or what your expectations were coming in? Or is that still in line with maybe what you’ve talked about previously?
John Colson: No, our margins of backlog continue to be strong and the reason for optimism in our backlog numbers.
Operator: Our next question is from the line of Will Gabrielski with Gleacher & Company.
Will Gabrielski - Gleacher & Company, Inc.: Following up on the margin question first. So in Q1, you were mobilizing and not working? And then for the rest of the year you should be working more and doing less mobilization work, so can we say that maybe 2009 would be the margin level that we should use as a baseline for what this year might look like for rest of year, or is that still something that we really can't pinpoint yet?
John Colson: Well, we always have talked about our margin's goals at 9% to 12% operating income. And except for the first quarter this year, we expect to be in that range for the rest of the year.
Will Gabrielski - Gleacher & Company, Inc.: And then the follow-up just quickly on pipeline business, I guess, what's your expectation on timing and then the mix U.S. versus Canada, and any impact from some of the rigs moving out of gas shale and into more liquid-rich shale like the Bakken or Eagle Ford, and what your expectation would be if that happens over the next two years, is that a positive or a negative for you?
John Colson: We continue to see the shale build out well, I mean, obviously the oil-rich areas are very active right now, the Bakken and the Eagle Ford. But we're starting to see work start in the Marcellus as well. And certainly the work in the oil sands continues as well in Canada. So it's a very active market across both shale and oil sands, and we don't see that letting up anytime over the next few years.
Operator: Our next question is from the line of Jamie Cook with Crédit Suisse.
Peter Chang - Credit Suisse: It's actually Peter Chang in for Jamie. Is there any way that you could quantify the Q1 impact of the harsh weather? And then maybe if there were ramp-up costs on these four, five projects or wind-down costs?
John Colson: Yes, I think there's three things there that are negatively affecting the first quarter. It's hard to say that one is 30%, one is 35% and the other is 25%. It's kind of three things and equally important. Extreme weather certainly has had the biggest impact in January. We expect that to moderate, of course, in February and March. But we do have those ramp-up, timing of projects, the lumpiness of projects, finishing early on a couple of projects and not being able to start on the five projects immediately after the ramp-down of the first two. So some of those issues that are causing it, and I would hesitate to say that one was more than the other. We'll have to wait and see and look at it in hindsight and be able to tell you a little better after it's over I think.
Peter Chang - Credit Suisse: The cadence for the quarters for the year, usually Q3 is seasonally your strongest. But given Jim's comments about expanding margins and revenues as the year progresses, should we think about Q4 as possibly being the most robust quarter for 2011?
James Haddox: I think that could possibly be. I mean, weather will play a factor into that, Peter, but we should have momentum into the fourth quarter and into the first quarter of next year. I mean, a lot of these projects are multiyear. John and I listed a list of eight to 10 projects, and they should continue through the fourth quarter and into the first quarter next year and into 2013 and beyond.
John Colson: We’ll still have the seasonal aspects in the fourth quarter as worst weather and holiday season and so forth and so on. But the timing of some of these Natural Gas project awards could kick in the fourth quarter and offset that. It's just difficult to say at this point in time.
Operator: Your next question is from the line of Steve Sanders with Stephens Inc.
Stephen Sanders - Stephens Inc.: I don't know if you gave the approximate dollar value of Lone Star and/or the three other CREZ projects that you're bidding, but if you could that would be helpful. And then just give us a sense of -- in the Electric segment, what you’ve baked into the guidance with regard to projects that could be awarded and actually start construction this year?
John Colson: Steve, we can't talk about Lone Star specifically and the dollar value. But if you look at the ones that we announced this year, the Puget gas contract, Group 1 CapX2020, our portion of that and Lone Star for projects, you're in excess of $1.2 billion in total backlog and probably $200 million of that will come this year.
Stephen Sanders - Stephens Inc.: And then how do we think about your guidance on the electric side relative to projects that could potentially get awarded here in the next few months and actually hit the P&L by the fourth quarter?
James Haddox: Well, price is a big piece there. I mean, we expect more CREZ awards that will be released this year, that will start construction this year. That's the big opportunity. And then you've got the projects up at BC Hydro as well that could potentially start towards the end of this year. Those are the two big ones that I'm thinking of right now that we haven't discussed.
Operator: Our next question is from the line of Craig Irwin with Wedbush Securities.
Craig Irwin - Wedbush Securities Inc.: Sorry to go back to the same subject of guidance again and again. But I guess, this is a pretty important topic. If we take the midpoint of your revenue guidance range for the fiscal year and your 12-month backlog, and then adjust that for the roughly $125 million to $150 million in implied book and burn in that business this year, sort of suggests that you're looking for fast book and burn business around $1.25 billion, and that compares to roughly $1.6 billion a year ago. Now given all the data points out there showing that there's a fairly substantial improvement in your end markets, did you change the parameters to include projects in your backlog or become more conservative about certain types of work when you put the forecast together?
John Colson: I think that goes along with what I had said earlier, when you're looking at the first quarter start as we are, you have to be a little bit cautious in giving the guidance for the year. Again, projects have a tendency to be delayed. And whether they start in the fourth quarter this year or third quarter this year or the first quarter of next year makes a big difference in your guidance. So there's certainly some caution that needs to be used in providing that yearly guidance.
James O'Neil: So maybe, Craig, to help you guys out a little bit, I don't know if this is what you guys are pointing at, but conservatism and guidance, to give you a feel for that if you go back and you look at last year's backlog compared to where our revenues ended up, excluding the $26 million from Valard which was an acquisition, we were about 63% in backlog. And if you take the low end of our guidance this year, we're at about 70% in backlog. So you could interpret that as being some conservatism as far as the revenue guidance because our backlog was so much stronger this year than it was last year at this time. But you still have to factor in the other things that these guys have talked about which is weather and delays on projects. So just using the numbers, you could infer that we're somewhat conservative this year as far as our revenue guidance is concerned. And we're also following up a year where we had to change our guidance during the year, last year. So we should have more visibility into next quarter too so of the overall business, especially on these transmission projects and gas awards so the environment…
Craig Irwin - Wedbush Securities Inc.: I guess, nobody is going to fault you for being conservative. But just one thing to check, there were a few pretty large projects that were in the outlook last year, potentially could've been awarded last year, now we've got others showing up particularly the projects in Canada and the CREZ awards. Have there been any major projects that have disappeared or gone into sort of sustained delays where you don't think that they are likely to be awarded in the next several quarters?
John Colson: The PATH project was a notable project last year. It's the only one that really got delayed for an extended period of time. I guess, there was one, the one in New Jersey also. Susquehanna Roseland was another one, I guess, that got put off for extended period of time. No cancellations that I'm aware of, but those two did get pushed out quite a ways.
Operator: Our next question is from the line of Carter Shoop with Deutsche Bank.
Carter Shoop - Deutsche Bank AG: I was hoping you could clarify on an earlier comment where you said you had $1.1 billion of business in the Natural Gas Pipeline business that you're bidding and negotiating on. How much of that is actually being negotiated on versus bidding on?
James Haddox: Carter, I don't really want to get into that. It's kind of sensitive. But I think the way to answer that is we're going to probably have about $350 million of opportunities that seem real. I'd say it's 50/50 may be negotiated if you want to get a break on that. And that's how we came up with the $350 million in opportunities we have for the year that we feel are real for this year that are in uncommitted right now.
Carter Shoop - Deutsche Bank AG: And then shifting to telecom, as much of the business sounds like it’ll be booked and shipped in 2011 as it relates to the stimulus. Can give us a sense on to how much capacity you have in this space, and what's a reasonable range for telecom revenue in 2011?
John Colson: We have certainly more capacity than there is work that we are likely to get this year. Hopefully we can reach some capacity constraints in later years. But I don't think that capacity in telecom is going to be an issue at all in 2011.
Operator: Our next question is from the line of Stuart Bush with RBC Capital Markets.
Stuart Bush - RBC Capital Markets, LLC: Given that we've seen continued delays for the U.S. approval of the Keystone XL project, is there any chance that spends for that project could be out for bid before timing is determined, and what would be the trigger for you to be able to put any winds there into backlog later in the year?
John Colson: Yes, that project is up in the air. We will have to be very cautious before we put any bid in backlog because of the difficulties that everyone’s aware of, with the regulatory process. But I truly believe that project will go forward, and that there'll be some reason to – reasonableness, I guess I should say, to the process and that, that project will get built.
Stuart Bush - RBC Capital Markets, LLC: And then secondly, can you comment on the trend in the utility O&M budget and what you foresee for distribution spending in 2011?
John Colson: Distribution is difficult. We're seeing some signs that there's going to be some recovery this year in distribution spending. But we're every bit cautious about that because it's not as robust as we'd like to see. And so we're very cautious in projecting much growth in distribution spending this year. I think it will be better definitely than last year, but it may not be much better.
Operator: The next question is from the line of Adam Thalhimer with BB&T Capital Markets.
Adam Thalhimer - BB&T Capital Markets: Wanted to ask you about -- I'm a transmission bull, but there's a couple of things out there that I look at and wonder should I be concerned about the potential impact to transmission projects. Let me just throw out three things. We had a bill introduced in the senate a couple of days ago challenging the FERC on cost allocation. Also we're in a world of higher commodity prices, and I wonder if the rising construction costs would cause some utilities to push out projects. And then the third issue could be slowdown in renewables construction, particularly wind with the expiration of the tax credits. Should I be worried about any of those factors as it relates to kind of the transmission cycle here?
John Colson: I've never really seen a project that -- address your middle question first about commodity pricing. I've never seen a project once it has momentum to be stopped because of the cost of commodities. The utilities are able to pass those costs on to the ratepayers if they are legitimate costs. So that has never really been a factor. Regulatory issues are always a factor. And whether they're state, local or federal, those are always a factor, and those are probably the most destructive, if I can say that, things for construction work are those regulations. And whether a senator is opposed or whether a politician likes the line or doesn't like the line and is getting pressure from environmentalists, those kinds of things are difficult to predict, they cause our utility customers lots of problems and cost the ratepayers lots of money because of that uncertainty. So those are factors that we've lived with for decades. And once they're to the point where these projects are that we've listed, typically, they move forward. Now they can be delayed for 30, 60, 90, 120 days if someone files a lawsuit and so forth. But typically, they move forward once they're in the status that they're in at this point.
James Haddox: To address the wind question, Adam, yes, we think that wind is going to be depressed this year as well. But we're very optimistic that solar will replace the downturn in any wind revenues, plus add additional revenues to get us some nice growth in '11 over '10.
Adam Thalhimer - BB&T Capital Markets: When you guys think about the Natural Gas business and you look back to the prior peak, '07, '08, first half of '09, really strong margins in Nat Gas, lots of long haul, wide diameter pipe projects. As we think about the current cycle, '11, '12, '13, a lot of shale work, smaller diameters, smaller length of haul, more competition, I mean, how would you compare last cycle, this cycle, particularly as it relates to the margin opportunity?
John Colson: I think that there are different factors in play as you pointed out. However, there's a lot of long haul as well when you count in the oil sands in Canada and getting that product piped around the country as well as all of these little pipes that you're talking about. Certainly, that's a very, very competitive business. But all those little pipes lead to a big pipe, and therefore I think that you're going to see a lot of large diameter construction as well. So there are some differences, but I don't think they're meaningful overall.
Operator: Our next question is from the line of William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: Can we just go into pricing, what you're currently seeing as of today per Nat Gas as well as the electrical side?
James Haddox: I think on the electric side, you're seeing a lot of the capacity being used up on the transmission side. So we haven't really changed our pricing. But I think that some of our competitors have started to increase their pricing as the capacity’s out of the market. And to some degree, that's probably the case on the gas side. Historically, we've not been very successful in the early bidding seasons because we've always put pretty good margins in our gas work. And then as capacity works out from our competitors, then prices tend to get to our levels, and we're typically more successful later in the bidding cycle than we are in the early cycle. And I think that'll be the case this year as well.
Operator: Your next question is from the line of Steven Gambuzza with Longbow Capital.
Steven Gambuzza - Longbow Capital: Do you have a renewable revenue target for 2011 that you could provide?
James Haddox: That would be about $350 million, Steve.
Steven Gambuzza - Longbow Capital: And how would you expect that to be split between solar and wind roughly?
James Haddox: $250 million all in all, solar.
Steven Gambuzza - Longbow Capital: And then just in terms of the pipeline outlook, it sounded in your opening remarks that you were looking for approximately flat revenue and operating profit in 2011 versus 2010, is that right?
James Haddox: That's right. With the current guidance we've given, that's correct.
Operator: Our next question is from the line of Alex Rygiel with FBR Capital Markets.
Alexander Rygiel - FBR Capital Markets & Co.: What is the organic revenue growth assumption embedded in your guidance?
James Haddox: Yes, I think electric, just the electric was 16. I mean, with Valard, electric we had forecasted that it would grow somewhere in the mid to high-twenties. But without Valard, electric should grow in the 15% to 20% range. Telecom is about the same. Telecom doesn't have any acquisitions. So telecom's between 15% to 20% range. Gas is flat to down in the embedded guidance.
Alexander Rygiel - FBR Capital Markets & Co.: And as it relates to CapX2020, Jim, you mentioned or referred to Group 1 being a total of $660 million in construction value. Is that the total opportunity for Quanta, or is that the shared value between Quanta and MYR?
James O'Neil: That's the shared value in the Group 1 projects between us and the other contractor. And we'll get at least half of that, but half is the minimum.
Alexander Rygiel - FBR Capital Markets & Co.: As it relates to the fiber leasing CapEx, what was the fiber leasing CapEx in 2010? And can you comment on the fiber leasing margins? I know they were 48% in this current quarter. Is that the expectation that you believe will play out over the next 12 to 24 months as well?
John Colson: Yes. I think our CapEx for fiber leasing was about the same, maybe it was high 20%.
James Haddox: I think it's 25% for '10, and we're seeing 30% to 35% for '11. I think fiber optic will probably grow in 2011 in high-single digits, maybe double digit.
Operator: Our next question is from the line of John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co.: I'm not quite sure how to define this by the various end segments, but can you give us a sense of how much of your work now is large projects versus smaller work?
John Colson: Yes, I think that the large projects are becoming increasingly higher percentage of our work. But they're still not 50% of our work, more like 40% large project work, and I'm talking large project being over $25 million to $30 million, and the rest is small contract.
John Rogers - D.A. Davidson & Co.: And is that across both the Electrical and the Natural Gas segments?
John Colson: Yes, probably it's true in Electric and Natural Gas. But probably Telecom, more of it comes from smaller projects.
John Rogers - D.A. Davidson & Co.: And does that just inherently mean that we're going to have more volatile quarters?
John Colson: Well, no, it shouldn't. It should provide some stability.
John Rogers - D.A. Davidson & Co.: I mean, with improved near-term visibility, but looking out a couple of quarters, I would think it would get more difficult.
John Colson: No, it shouldn't. Actually, the further out I think the better the visibility, the near term is those big projects get delayed for a few weeks, and that can cause you some difficulties. Long term, it will work itself out.
Operator: Our next question is from the line of Jeff Beach with Stifel, Nicolaus.
Jeffrey Beach - Stifel, Nicolaus & Co., Inc.: I guess, on the gas pipeline opportunity right now and the outlook. I think that during the last few months, you've looked out, you've seen a larger bidding opportunity 2x a year ago. You're talking about flattish revenues, flattish operating profits, your operating profits were hurt pretty badly by the flooding in the last half of last year. So it sounds like to me that there may be a lot of projects out there, but your expectations to win are not as great. And it sounds like the margins backing out the impact of that flooding are lower in gas. Can you just expand on the whole bidding environment and the outlook going through 2011? And is there a large pipeline of additional gas projects that hasn't come up for bid yet?
John Colson: I think there's a couple of points we should make. One is projects bidding doesn't mean that projects will start in 2011 or that they'll have significant revenues in 2011. So a lot of the projects that are bidding are not going to have a lot of revenue in 2011, but they will be of course 2012-type projects or more revenue for 2012. Now we haven't changed our bidding outlook. If anything, we've become conservative in our guidance, we’re recognizing that we have to fill those voids that we have in that and we don't have it yet. And so we're probably a little bit more cautious this year than we were last year.
Operator: Our next question is from the line of Michael Coleman with Sterne Agee.
Michael Coleman - Sterne Agee & Leach Inc.: I want to go back to the Telecom cable and the broadband stimulus award that you announced in the quarter. The NTIA is administering a handful of other projects that are equivalent or larger than the project you won. And I'm wondering if you could comment on how many of those you're bidding on, if they’re similar situations in terms of putting money into the project, as you did on the KINBER and when those projects are likely to be awarded.
James O'Neil: This is Jim. We're actually looking at a lot of projects, various sizes for stimulus funding. I mean, we continue -- that bidding activity continues to be robust. We think it'll be robust through the first half of the year and start winding down toward the second half of the year. But there are big opportunities out there and smaller opportunities. There's just a lot of activity in that space right now. And we think it will benefit us for the next two to three years on the construction side and engineering side.
Michael Coleman - Sterne Agee & Leach Inc.: You gave a number of $1.1 billion on the gas side in terms of what you're bidding. Any kind of dollar figure in terms of what you're bidding on the Telecom cable?
John Colson: I don't think we have really quantified those numbers for this year. It continues to grow. We have pretty good visibility on what’s bid or going to be bid on the gas side. The telecom, because of the stimulus spending, that just keeps increasing. And I don't think we can quantify that very well.
Michael Coleman - Sterne Agee & Leach Inc.: On your outlook for 2011, what are you targeting for corporate?
James Haddox: Corporate expenses are targeted to be about in the $80 million range. You have to be careful as to how you use that number because corporate and unallocated also includes non-cash compensation and amortization. So I mean, I gave you guys guidance on what we expected those two numbers to be, a total of about $51 million for 2011. So corporate should be somewhere around the $80 million number.
Operator: Your final question is a follow-up from the line of William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: Just a little color on the expected run rate, just for some housekeeping on SG&A going forward embedding Valard as well as price?
James Haddox: You're asking for guidance on the SG&A right as a total?
William Bremer - Maxim Group LLC: If you want to provide that for '11, sure. Or just give us a little color on the run rate, how we should reflect it quarterly.
James Haddox: I would look at -- I have to be careful here to make sure I give you apples and apples because of the fact that stock compensation is included in G&A expenses. So if you include stock compensation and G&A expenses, I would say we're going to be running somewhere -- we'll start somewhere around the, say, $84 million to $86 million level for the first quarter and then ramp up probably closer to the $88 million to, say, $92 million level for the rest of the quarters.
William Bremer - Maxim Group LLC: So nothing as high as this, what we're seeing in this current quarter of $94.5 million?
James Haddox: Wait, I've got to includes stock compensation in those numbers, and I didn't do that just then. So you're talking about $95 million to $97 million, somewhere in that range, including stock compensation expense and G&A expenses for second, third and fourth quarters.
William Bremer - Maxim Group LLC: So second, third and fourth $95 million to $97 million; in the first quarter, a little lighter than that?
James Haddox: Right, you should be closer to, let's say, closer to $90 million in the first quarter including stock comp.
Operator: Thank you. And that concludes the question-and-answer session. Please continue with any closing remark.
John Colson: I just want to thank everyone again for your participation in our fourth quarter and year-end conference call. We appreciate your questions and your ongoing interest in Quanta Services.
Operator: Ladies and gentlemen, this concludes the Quanta Services Fourth Quarter and Full Year Earnings Conference Call. If you would like to listen to a replay of today's conference, please dial (303) 590-3030, followed by the access code of 4410774 and the pound sign. Thank you for your participation. You may now disconnect.